Operator: Hello, and thank you for standing by. My name is Mark, and I will be your conference operator today. At this time, I would like to welcome everyone to the ADT Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Now I would like to turn the call over to Elizabeth Landers, Vice President, Investor Relations. Please go ahead.
Elizabeth Landers: Good morning, and thank you for joining us to discuss ADT's third quarter 2025 results. Today's speakers are Jim DeVries, ADT's Chairman, President and CEO; and Jeff Likosar, our CFO. After their prepared remarks, we'll open the call for analyst questions. This morning, we issued a press release and presentation summarizing our financial results. Those are available at investor.adt.com. We'll reference our non-GAAP financial measures today. Reconciliations to the most comparable GAAP measures are included in the earnings presentation on our website. Unless noted otherwise, all financials and metrics discussed reflect continuing operations. Non-GAAP cash flow measures include amounts related to our former solar business through 2Q 2024. Forward-looking statements included in today's remarks are subject to risks and uncertainties. Actual results may differ materially. Please refer to our SEC filings for more details. And now I'm happy to turn it over to Jim.
James DeVries: Thank you, Elizabeth, and good morning, everyone. I'm very pleased to report that ADT delivered another quarter of solid revenue growth, robust cash flow and very strong earnings per share. Collectively reflecting the resilience of our business model and our team's continued execution of our 2025 strategy. Let me start with a few key financial highlights. Total revenue grew 4% to $1.3 billion. Adjusted EBITDA grew 3% to $676 million with adjusted earnings per diluted share of $0.23, up a strong 15% year-over-year. Cash flow continues to be a highlight with adjusted free cash flow, including interest rate swaps reaching $709 million year-to-date. Additionally, year-to-date, we have returned $746 million to ADT shareholders through share repurchases and dividends. We ended the third quarter with a recurring monthly revenue balance of $362 million, up 1% year-over-year. Turning to attrition. Earlier this year, ADT achieved record levels, and this quarter, we ticked up to 13%. While above our budget, our teams are focused on plans to continue improving customer retention and those actions are underway. As we've executed in prior quarters, during Q3, we completed a small bulk account purchase of 15,000 accounts for $24 million. Overall, consumer sentiment remains cautious and relocations continue at low levels. We have remained disciplined in our SAC spending which resulted in lower new subscriber and RMR adds. Jeff will provide more specific details about our results and full year outlook later in our call. I'd like to spend the next few minutes updating you on ADT's 2025 progress and strategic focus areas, which continue to build on the priorities we've shared throughout this year. ADT's commitment remains unchanged, delivering safety and peace of mind to our residential and small business customers. Our strategy is anchored in 3 core pillars unrivaled safety, innovative offerings and a premium best-in-class customer experience. Unrivaled safety is at the heart of everything we do at ADT. As it has been throughout our entire 150-year history. We are constantly strengthening the ways we protect ADT customers and provide them with confidence in their security delivering peace of mind. As we execute on our near-term financial goals, we're also investing in our product and experience ecosystem, expanding and enhancing our differentiated offerings. These efforts give customers even more reasons to choose ADT and to remain loyal to our brand. Our ADT+ platform continues to gain traction, enhancing the safety, convenience and experience we deliver to our customers. Our product and engineering teams are firing on all cylinders, in coordination with our strategic partners to drive a continued pipeline of innovative releases. Our product road map is robust, and we expect to continue expanding our suite of unrivaled offering every quarter to continue to gain share within the smart home. An increasing percentage of our new customers are now enjoying ADT+, and many of these customers are opting for larger, more comprehensive ADT systems, leading to increased installation revenue, and we anticipate contributing to even stronger retention over time. During 2025, approximately 25% of our new customer additions have been installed with the ADT+ platform, and we are continuing to expand to more categories of customers and channels. This quarter, we launched the ADT+ Alarm Range Extender further enhancing the capabilities, performance and dependability of the ADT+ platform. This device expands coverage between the ADT+ base and other connected devices in larger or more complex homes with a 24-hour battery backup and tamper alerts. We also introduced new automation and AI-driven testing capabilities to streamline app development, reduce the need for manual testing and deliver faster, high-quality releases. These innovations help ensure a smoother, more reliable experience for our ADT + customers. We are actively evaluating new features, use cases and economic models and we'll continue to share additional information as these come to market. I also have a few updates regarding our efforts to optimize our hardware portfolio. While we don't expect hardware savings to be material in 2025, we view this as a meaningful source of savings going into 2026. Beginning October 15, ADT refreshed our smart home security portfolio, and we now offer 5 new Google Nest camera models, reflecting the continued expansion of our partnership with Google. And we are working closely with our suppliers to mitigate our tariff exposure, which we do not expect to be material during 2025. On the customer service front, we remain pleased with our progress with ADT's remote assistance program, which has eliminated approximately half of our in-home service calls reducing truck rolls and field service costs. Our current AI efforts remain focused on our customer care operations with an emphasis on improving the customer service experience for both our customers and our employee agents while also improving overall efficiency. These AI initiatives continued to deliver positive results with an increasing number of customer service chats processed by AI agents, with nearly half of those successfully resolved without live agent intervention. We're also continuing to expand the rollout of AI agents for voice calls and early results are promising for both customer satisfaction and cost efficiency. AI-driven cost savings are beginning to materialize, particularly in our call center operations and we expect to provide more quantitative detail as these benefits scale. Turning for a moment to State Farm. As mentioned during our last call, we have pivoted away from the past selling program, and we're exploring new opportunities for a digital relocation focused approach to jointly pursue new customers. Despite some ongoing macroeconomic uncertainty, including tariff pressures and elevated interest rates, ADT's business model remains resilient and very well positioned for the future. In closing, we remain focused on execution, operational excellence and positioning ADT for long-term value creation. I remain confident in ADT's outlook and our ability to deliver on our commitments for 2025. I want to thank our employees, partners and customers for their dedication and trust in ADT I'm proud of our team's performance and excited for the opportunities ahead. With that, I'll turn the call over to Jeff.
Jeffrey Likosar: Thanks, Jim, and good morning, everyone. I will take the next few minutes to share some additional details on our third quarter and year-to-date results and our outlook for the rest of the year. As Jim mentioned, cash flow remains a significant highlight. In the third quarter, we generated $208 million of adjusted free cash flow, including swaps, up 32%, and we have generated $709 million year-to-date, up 36%. Adjusted net income for the quarter was also very strong at $187 million or $0.23 per share. Year-to-date, we have generated adjusted earnings per share of $0.67, up 20%. Adjusted EBITDA for the quarter was $676 million, up 3% in the quarter and up 4% on a year-to-date basis. This strong performance is driven by revenue growth, the associated margins and our overall efficiency, enabling continued investments for the future while delivering these results. Adjusted earnings per share also benefited from our repurchases enabled by our strong cash generation and our efficient capital structure. On the top line, we delivered total revenue of $1.3 billion in the quarter, up 4%. Monitoring and services revenue was up 2% with an ending RMR balance of $362 million. Installation revenue was $200 million, up 21% and reflecting our continued mix shift to outright sales at higher average prices as more customers choose our ADT+ offerings. Gross subscriber additions were $210,000 in the quarter, adding $12.5 million in RMR. Our adds were down year-over-year, driven mainly by fewer bulk account purchases, approximately 49,000 accounts last year versus approximately 15,000 this year. I will note that our third quarter results still include the multifamily business, which we divested on October 1. This business is comprised of customers who own or operate residential rental housing facilities such as apartment complexes. Its characteristics are akin to the commercial business we divested in late 2023, generating meaningfully lower EBITDA and cash flow margins than our core residential subscriber base. We are consequently pleased with the $56 million sale price for this relatively small portfolio of approximately 200,000 subscribers and $2.6 million in RMR. We have also continued to return significant capital to shareholders while strengthening our balance sheet. As Jim mentioned, we have returned $746 million so far this year from the repurchase of 78 million shares and our quarterly dividend distribution. We remain very comfortable with our leverage at 2.8x adjusted EBITDA with net debt of $7.5 billion at the end of the third quarter. In October, we closed on a new 8-year $1 billion bond and a $300 million add-on to our 2032 Term Loan B. We used the proceeds to fully repay our $1.3 billion 2025 Second Lien Notes, which was our most expensive debt. We also closed on a new $325 million term loan A last week with those proceeds designated to repay some of our 2030 Term Loan B and our April 2026 notes. In all cases, we were able to price the new facilities below the rates of the debt they replaced. Together with transactions from earlier in the year, we have extended almost $2.5 billion of upcoming maturities and lowered our borrowing cost to 4.3%. We also enjoy a continued strong liquidity position with an undrawn $800 million revolving facility and $63 million of cash on hand at the end of the quarter. I'll close with a couple of comments on our outlook. With 2 months to go, we remain on track to deliver results consistent with the guidance we shared early this year. Reflecting this confidence, we have tightened and adjusted our guidance ranges, largely maintaining prior midpoint. We now expect total revenue of between $5.075 billion and $5.175 billion, with the midpoint consistent with our original guidance. Our refreshed ranges include slightly higher adjusted EPS midpoint with an offset to the adjusted EBITDA midpoint. This is in consideration of the mix between expense and capitalized SAC and other factors, including a delayed planned legal recovery. We now expect adjusted EPS in the range of $0.85 to $0.89, and we expect adjusted EBITDA to be in the range of $2.665 billion to $2.715 billion. Finally, we are maintaining our $800 million to $900 million range for adjusted free cash flow, including swaps, as we evaluate a handful of fourth quarter opportunities, including bulk account purchases. In summary, we are very pleased with our progress during the first 3 quarters of 2025. As we look towards the remainder of the year, we are confident in our ability to deliver on our commitments. We remain focused on driving operational efficiency, investing in innovation and generating long-term value for our stakeholders. Thank you for your continued support. Operator, please open the line for questions.
Operator: [Operator Instructions] And your first question comes from the line of Peter Christiansen with Citigroup.
Peter Christiansen: Great to see free cash flow growth really materialize this year, pretty impressive. Jeff, really 1 question for me, Jeff. I was just wondering, we obviously know next year, a full cash taxpayer, but on the other hand, you've been able to lower the borrowing cost for the company. So I mean, those are pretty important key inputs as we think about 2026 free cash flow. Are there any other areas that we should think about when -- in our modeling, as we look to 2026, any components to free cash flow growth that stand out in your view?
Jeffrey Likosar: Yes, you hit on the ones that have some dynamics that could cause them to change. So we've had some success managing our cash taxes will end up a little bit better on cash taxes, a couple of benefits from the recent legislation. We've done a really good job with a series of debt transactions, reducing our borrowing cost which makes that less of a challenge next year compared to what we once thought it would be. So we feel really good about our progress. In 2025, we're on track to achieve our original guidance because of our improvements, we have a lot more flexibility in capital deployment. So while we're not sharing any specific guidance beyond '25 today. This is, of course, the time of the year where we're working on strategic planning and budgeting for next year, ongoing conversation. With our Board evaluating several really interesting initiatives and opportunities for long-term growth. We continue to believe our stock is undervalued. So we've deployed capital there this year. And we plan to share more in the first part of next year in terms of a broader strategy and longer-range outlook along with our 2026 guidance. But I feel really, really good about where we are in 2025.
Operator: And your next question comes from the line of Ashish Sabadra with RBC.
Ashish Sabadra: So you mentioned efforts underway to improve retention, I believe, ADT+ and some of the AI initiatives are part of it. But I was just wondering if you could elaborate further on how should we think about some of these initiatives helping retentions going forward?
James DeVries: Sure. Thanks for the question. It's Jim. I'll give a little bit of color on attrition overall and then talk about a couple of the improvement areas that we're focused on. As I said on the call, we ended the quarter rounding to 13%, up about 13 basis points from last quarter. As a reminder, we achieved record levels earlier this year and expect to drive attrition lower over time. Largely due to tailwinds on customer service and new offerings like ADT+, which should drive -- continue to drive more customer engagement and more usage. On the quarter itself, the pressure on the quarter came from a couple of areas nonpayment cancels were higher than last year. Voluntary losses were worse than last year and relocation losses were modestly lower than last year. A couple of areas to -- more specifically to your question, where I think there's cause for optimism. The team stability continues to improve, and more tenured employees perform at higher productivity rates, our customer experience metrics virtually across the board. NPS, customer sat, digital self-service, are all improving and going in the right direction. There's been some excellent improvement on life cycle management, which the team is advancing. And then from a hardware perspective, ADT+ things like Trusted Neighbor, increased penetration with video, all drive improved usage of our services. And to the extent that usage increases, we know historically that retention improves, the more a customer uses the system, the higher they value it, and the higher retention. So the quarter ended at 13%, we ticked up, but there's a number of initiatives underway that I think long term, bode well for us.
Ashish Sabadra: That's great color. And maybe just on the RMR front, we saw some softness there from a growth perspective. How should we think about the puts and takes going forward?
James DeVries: Sure. So at the intersection of attrition being 13 basis points higher and gross adds not being quite where we'd like them to be. RMR ended the quarter less than what we had anticipated. Our direct organic residential adds were actually up 1% year-over-year, dealer adds were down modestly. DIY, it's a small number, but DIY for us was up 13% year-over-year. The most significant impact on ending RMR for us this quarter from a comparison perspective is that we did a bulk of 15,000 this quarter comparing to 49,000 last year. So RMR -- ending RMR ended a little lower than anticipated. We have some bulk in the pipeline. We'll be disciplined about pursuing that bulk but that should continue to be a source of growth for us going forward. Thanks for the question.
Jeffrey Likosar: And one thing I'd add to or just to emphasize is our continued focus on returns and discipline in capital deployment, SAC deployment, especially It's, of course, a very important measure, but we're also focused on profitability, SAC efficiency, cash generation. So really pleased to be still affirming our guidance that would have our adjusted free cash flow up 14% or 15% at the midpoint after 40%, I think it was a little bit above 40% last year. So as we're balancing all of these objectives, I want to emphasize the progress we made on cash generation.
Ashish Sabadra: That's great color. And congrats on good solid top line.
Operator: And your next question comes from the line of Manav Patnaik with Barclays.
John Ronan Kennedy: This is Ronan Kennedy on for Manav. Can you talk about the portfolio hardware optimization efforts? I believe you indicated not material savings in '25, but a potentially meaningful source of savings into '26. If you could please provide some color of that on that and also the benefits of the remote assistance program and your early AI initiatives, please?
James DeVries: Sure. Ronan, there's a lot packed into that question. I'll go tree tops on each of the 3, and we can go deeper in the after call, if you like. On the product side, we're working with our ODMs, essentially leveraging our scale and their expertise to drive lower cost manufacturing. And we've had some good progress with ADT+. That now represents something in the neighborhood of 25% of our new sales, we'll continue to expand that to new order types, new channels, but all of the work that our engineering teams are doing with the ODMs are focused on driving down prices. We'll have a little bit of tailwind. We've had a little bit of tailwind on that front this year. It's not material. But as we continue to expand ADT+ to more and more of our new installations, we'll see more progress on the savings front. AI continue to focus on customer service. We're now expanding into some sales applications, employee productivity. There, too, we've had savings in 2025 and expect that to begin to accelerate in '26 as well. Chat volumes now 100% AI containments right around 50%. Voice is we're probably in the neighborhood of half of our calls have virtual agent of our voice calls containments flat at just below 20%, but I feel good about what we're doing on the AI front as well. And then on remote servicing, that's maintained about -- at a level of about 50% of our service calls. And we've plateaued right about there for the last handful of quarters. I think there might be a little bit more improvement there, Ronan, but it's not -- shouldn't be meaningful. We're happy with where we are. The NPS and customer sat scores are very good with remote service. And I would expect that it will maintain right around half of our service costs.
John Ronan Kennedy: Another, if I may, kind of multifaceted question, but more so on the macro and the strength of the consumer as you see it. I think you said our voluntary disconnects were up. I don't think you commented on nonpay. You also alluded to potential impacts of tariffs and a still higher interest rate environment. So could we just have your characterization of the macro and the strength of the consumer? And if and how those could potentially impact you achieving your guidance for 4Q are going into '26, please?
James DeVries: Yes. We -- so absolutely. We -- so we reiterated on the guide. So I'd say overall, macro factors included -- we are confident with a couple of months to go that will be in the guide and therefore, reiterated. . I'll make -- I'll share a couple of comments on attrition and macro overall and then ask Jeff to touch on your question with regard to tariffs. I think generally, Ronan, we're seeing a cautious consumer delinquency is up a bit. Our nonpay cancels, as I mentioned, were higher than last year. it's not meaningfully higher, but it's a number we're paying a lot of attention to. I think that some of the process changes and collections that our team is making while early bode well for us, and we're definitely not seeing a continued erosion, those elevated nonpay cancels and delinquencies have stayed steady -- elevated but steady. Another thing worth mentioning, you're pretty familiar with our business when we have relocations down -- the downside is we get fewer bites at the apple from a gross adds perspective, but it is a tailwind for us on attrition. And relocation losses were a bit less Q3 this year than Q3 last year. So overall, taking macro all the macro variables into consideration, I continue to feel good. Jeff continues to feel good about Q4.
Jeffrey Likosar: Yes. And I'd add on tariffs. The environment has come into a little bit sharper focus, but still not perfect focus, so we continue to work with our vendors to mitigate cost. In some cases, it's negotiations, it's consideration of country of origin shifts, in some cases, nearer term, some cases, longer term, places where we make may make pricing adjustments to our customers. And then I want to reiterate at the risk of repeating the point that we just feel really good about our ability to deliver our guidance from the beginning of the year. I recall in -- I think it was our first quarter call, noting that we expect the tariffs would put pressure on the midpoint of some of our guidance ranges, but we still would deliver the ranges and you're sitting here today in November, the tariffs have a bit of an effect on EBITDA. There's a couple of EBITDA things between hitting the P&L and hitting the balance sheet, but we're able to overcome those in a couple offset in EPS. So you took our EPS up a couple of points and -- or a couple of cents, I mean. And then already made the point that we feel really good about our cash generation. So despite some of these uncertainties, our teams have done a really good job managing the puts and takes this year.
Operator: And your next question comes from the line of Toni Kaplan with Morgan Stanley.
Toni Kaplan: I first wanted to ask about the lower SAC spend. Was that a deliberate strategy? It makes sense that you wanted to be more disciplined, but I guess, is there anything that sort of drove you to spend less this quarter? Or it just was that the customers that you saw weren't as high quality? Or was it sort of a deliberate you wanted to spend less?
Jeffrey Likosar: Yes. I would say it's the combination of those things. Navigation of the point I was alluding to earlier, a variety of factors and offsetting directions and our commitment to deliver the guidance we put forth at the beginning of the year. And the point I mentioned about disciplined and returns oriented in our approach and then maybe worth also mentioning that we do still have a range around our adjusted free cash flow outlook for the full year, even with a couple of months left and part of that is a continued evaluation of SAC and the largest chunks of SAC tend to be bulk account purchases that we will evaluate in the last handful of weeks here.
Toni Kaplan: Great. And then on State Farm, I know you had talked about sort of changing course on the program that was originally rolled out because of this low pace. This one seems more targeted but also sort of more limited. So I guess, like maybe just talk about how did you sort of pick this new target customer base? Were they seeing higher adoption of like higher take rate of the ADT product during the initial phase? Or was there something else? And I guess in terms of like your cost of this program, I imagine it's probably not that big, but I guess like how do you think about like what you're hoping to get for returns or things like that? And when do you sort of reevaluate on the new pilot.
James DeVries: Thanks for the question, Toni. It's Jim. I'll give a little bit of context on State Farm and then speak to -- speak more directly to your question about the digital program that we're contemplating. . Our original agreement with State Farm was for a 3-year term. That concluded just this past October. As you know, and as I've mentioned on a few calls, volume has been below what we expected from the partnership. We didn't build meaningful adds into our 2025 budget program to date. We're at around 33,000 subscribers -- 32,000, 33,000 subscribers. And so we have pivoted to explore a digital solution. This is effectively directed at relocating consumers. We're in the very early days of design. It's not necessarily the last effort trying the traditional distribution with State Farm, but it's a fresh tactic, and we're going to lean in here and see if we can get some traction. An advantage is that it's in the potential buy flow. And so there's not a reliance on agent execution as there is in the traditional path. This is a digital process directed at relocating customers. I should also mention we're continuing our data sharing program with State Farm, where with customer consent, we share alarm activity at the customer's home with State Farm. And so we continue to kick tires on that front to see if there's a source of value. But back again on your original question about the advantage of the digital program, I would say, is that it's included in the buy flow, a more natural process and one we hope we get better traction with.
Operator: And your next question comes from the line of George Tong with Goldman Sachs.
Keen Fai Tong: You outlined various drivers to improve your attrition rates. Can you talk about how long you think it might take for those improvements to materialize and drive year-over-year improvements in attrition?
James DeVries: Thanks for the question, George. I think that it's probably Q1, Q2 of next year. The -- It takes a little bit of time to bake on the NPS improvements. The digital self-service continues to get really good traction. We're better than ever at meeting customers where they choose to interact with us. So we're expanding the digital platforms. There are some really interesting work that we're doing, leveraging AI to drive satisfaction. But I think it's a quarter or 2 before we start to see some improvement. I think the voluntary losses -- I anticipate voluntary losses will be the first to improve. And I'd mentioned earlier on our nonpayment cancels, there's been some process improvement on collections, where we essentially are dialing up our contact rates with delinquent customers and having some success there. And I'd expect some nonpay improvement as well. That, of course, is pretty significantly influenced by the macro environment, so a little more difficult to predict. But I think our internal processes and the improvement we're making bode well for us, say, Q1, Q2.
Jeffrey Likosar: And one other thing I'd add too is we made some adjustments and fine-tuning to our underwriting processes to whom we extend how much credit earlier in the year that we expect will have some benefit, but it also takes a few months to work its way through the system.
Keen Fai Tong: Got it. That's helpful. And you mentioned earlier, continuing to opportunistically pursue bulk account purchases. Can you remind us what's embedded in the guide in the full year with respect to future bulk account purchases? And what current economics look like with purchases?
James DeVries: Let's tag team on this one, Jeff. So I'll give you a little bit of color and Jeff will as well, George. So we've got some bulk in the pipeline now. We -- as you know, we'll stay disciplined. We won't chase these bulks. We don't want ads just for the sake of ads. So if we can't get to the economics that we target. We won't pursue them. But there's 2 or 3 sizable bulk opportunities available to us. We're evaluating those. We may end up executing one in the fourth quarter. And that, I think Jeff mentioned earlier, is largely the reason why we left the free cash flow guide wide. We tightened revenue, EBITDA and EPS, but left adjusted free cash flow at the $800 million to $900 million to in to -- principally to have the flexibility to pursue 1 of these bulks in Q4 if the economics work out.
Jeffrey Likosar: Yes, I don't have a whole lot to add. Similar to Toni's question and even in the third quarter, as Jim had noted, one of the drivers that I noted also in the prepared remarks, that one of the drivers year-on-year was less bulk in the third quarter. So of course, that led to less SACs spanning on those bulks. We're evaluating these in the fourth quarter. I'll just be echoing Jim's point about that. That's why the range is a bit wider than some of the other ranges.
Operator: And your next question comes from the line of Ashish Sabadra.
Ashish Sabadra: Just 1 quick question on capital allocation. You've been very opportunistic with the share repurchases. Can you just remind us how much more authorization do you have in place? And also from a liquidity perspective, can you talk about your opportunity to continue to do more opportunistic share repurchases going forward?
Jeffrey Likosar: Yes, sure. So the authorization from the beginning of this year, we have fully consumed. So that was $500 million authorization. We also had another a little bit more than $100 million of repurchases in January under the prior year's authorization. In terms of capacity, we have access to our revolving facility. As I noted, we feel really good about the debt transactions we've been able to undertake, including refinancing our most expensive debt just in the last couple of weeks. We also recently issued a term loan A. We used $200 million of those proceeds to repay our older, more expensive term loan B -- the 2030 Term Loan B. But we do have some of that cash still available. It's earmarked for debt repayment. But from a liquidity perspective, as we sit here today, we have liquidity available. And as I already alluded to, significant flexibility. Our next upcoming maturity is $300 million on our April 2026 notes and we feel very confident we can manage that maturity and have some capital available for share repurchases, if there's a good opportunity or M&A or SAC or any of the other capital allocation priorities we've talked about.
Operator: There's no further questions at this time. I will now turn the call back over to Jim DeVries for closing remarks. Jim?
James DeVries: Thank you, Mark, and thanks, everyone, for taking the time to join us today. We look forward to finishing the year strong. We remain confident in achieving our financial commitments for 2025. I'd like to extend my appreciation to our employees and our dealer partners. Thanks again, everyone, and have a great day.
Operator: This concludes today's call. You may now disconnect.